Operator: Ladies and gentlemen, welcome to the Patterson Company’s first quarter 2010 earnings call on August 20, 2009. For today’s recorded presentation, all participants will be in a listen-only mode. After the presentation there will be an opportunity to ask questions. (Operator Instructions). I will now hand the conference over to James W. Wiltz, President and CEO.
James W. Wiltz: Good morning and thanks for participating in our first quarter conference call. Joining me today is Steve Armstrong, our Executive Vice President and Chief Financial Officer. We will be happy to take your questions at the conclusion of our remarks. Since Regulation FD prohibits us from providing investors with any earnings guidance unless we release that information simultaneously, we’ve reiterated our previously issued annual financial guidance for 2010 in our press release earlier this morning. Our guidance is subject to a number of risks and uncertainties that could cause Patterson’s actual results to vary from our forecast. These risks and uncertainties are discussed in detail in our Annual Report on Form 10-K and our other SEC filings. We urge you to review this material. Turning now to our first quarter results, we believe that Patterson performed reasonably well amid a great challenging economic environment. Consolidated sales of $789.6 million were up from $743.9 million in the first quarter of 2009. The CEREC line of dental CAD/CAM products performed well during the quarter, as did our veterinary segment. Dental, veterinary, and medical acquisitions transacted over the past 12 months accounted for most of our first quarter sales growth. The positive impact of acquisitions was partly offset by negative currency adjustments on the revenues of our foreign operations. We reported earnings of $45.1 million or $0.38 per diluted share, compared to $46 million or $0.39 per diluted share in the first quarter of 2009. In our last conference call, we spoke about a number of cost control measures that we began implementing during the second half of fiscal 2009. We took an additional step in this year’s first quarter by enacting companywide salary reductions. As a result of these measures, we have streamlined our overall cost structure and slowed our expense growth which benefited our first quarter earnings. Total operating expenses were up modestly in the first quarter, primarily due to acquisition related costs, but we expect that we’ll fully leverage the expenses of our acquisitions going forward. Turning now to a brief review of our business unit performances, sales of Patterson Dental, our largest business, declined 2% in the first quarter to $511 million. Within Patterson Dental, internal sales of consumable dental supplies and printed office products were down 1% from last year’s first quarter or 2% after the impact of foreign currency adjustments net of acquisitions. We feel that consumable sales held up relatively well during this period, although many patients continue to defer high-level and discretionary services for economy related reasons. Later in this call, Steve will discuss two additional items that negatively affected the year over year comparability of our consumable supply business. The impact of the recession was particularly evident on sales of such basic dental equipment as chairs, units, and lights which declined 16% from the year earlier period. However, dental practitioners continue to invest in new technology equipment at higher levels. Sales of CEREC dental restorative systems rose 84%, while sales of digital x-ray systems and related software gained 16%. As we’ve said previously, we believe the recession is causing many dentists to limit their investments to equipment with rapid rates of return. New technology products including CEREC and digital x-ray systems meet this return on investment requirement. We believe the strong increase in first quarter CEREC sales also signals the growing market acceptance of CEREC’s advanced CAD/CAM technology. This trend which has gained momentum over the past two years has been driven by new product introductions that have further strengthened CEREC’s industry leading position as well as our more focuses sales effort. We believe this combination of factors has the potential to continue generating solid levels of CEREC sales. We also are encouraged by the strong first quarter of digital radiography systems and related software. Last year, we implemented several changes to Patterson Dental’s operating model to among other things strengthen our sales of digital products. We believe these changes have started working as planned. In addition, I would like to mention that sales of Dolphin 3D imaging and practice management software are meeting our forecasted levels, which represents another positive for our focus on new technology products. Sales of Webster Veterinary increased 37% in the first quarter of 2010 to $169.2 million, due primarily to the Columbus Serum acquisition. Excluding the impact of Columbus Serum, veterinary sales were up 8%, reflecting higher volumes of veterinary care for companion pets following several quarters of reduced patient activity. However, many veterinary practices are continuing to defer equipment purchases in view of the weak economy. The integration of Columbus Serum, a large and well-established value added distributor, serving the Mid-Atlantic and Mid-Western markets is proceeding on schedule. However, this significant acquisition could continue to negative affect the operating margins of our veterinary unit for several more quarters. Sales of Patterson Medical, our rehabilitation unit, increased 9% in the first quarter to $109.4 million, reflecting the positive impact of the April 2009 acquisition of Mobilis Health Care Group in the UK and to lesser extent the June purchase of the Empi Therapy Supply unit of DJO Incorporated here in the US. While currency adjustments continue to negatively affect Patterson Medical’s reported revenues during the quarter, the impact was less severe than during the second half of 2009. During the quarter, sales of rehabilitation equipment to acute care hospitals and clinics remain sluggish as the economy and uncertainty surrounding the healthcare reform debate tended to stall customer purchasing decisions. The assimilation of the Mobilis acquisition which has substantially increased Patterson Medical’s presence in the UK rehabilitation market is proceeding on schedule. The Empi Therapy Supply operation is scheduled to be fully integrated by the end of this year’s second quarter. The operating margin of Patterson Medical is expected to improve during the second half of this year as these acquired operations are more fully absorbed. Turning now to the earnings forecast contained in this morning’s release, we’re reiterating our previously reported full year guidance of $1.70 to $1.80 per diluted for 2010. Looking further down the road, we remain optimistic about Patterson’s future. Our three businesses, each of which holds the number one or number two position in its served market, are aggressively marketing their products. The long-term fundamentals of the dental, veterinary, and rehabilitation market remain strong, and we are continuing to generate substantial operating cash flows which are providing us with ample resources for supporting our various growth initiatives. Given these factors, we’re confident that Patterson is moving in the right direction. Now Steve Armstrong will review some highlights from our first quarter results.
R. Stephen Armstrong: On a consolidated basis, acquisitions accounted for just over 7% of our revenue growth for the quarter, while currency exchange rates had a negative effect of approximately 1.5%. As Jim mentioned, as we discussed during our last conference call, there are two developments within the dental segment that are negatively impacting the year over year comparability of consumables revenues. The first of these factors was the decision by a major consumer products company to take its professional tooth cleanser line direct as opposed to through distribution. This change effective in January reduced our consumable revenue growth by almost 2 percentage points in the first fiscal quarter. We expect this effect to diminish as we replace this lost volume with alternative products. The second item affecting year over year comparability results from the adoption of the new Patterson Dental Advantage Loyalty Program in January. This program allows customers to accumulate points that they can use against future purchases. We defer a portion of current revenues to account for the credits earned. Consumable revenues were reduced by about 1% in the first quarter due to this change. However, we are very pleased with the overall impact of this program on our dental business. Our consolidated gross margin declined by 100 basis points from the prior year as a result of revenue mix. This situation is the result of the relative growth of the veterinary segment which generated inherently lower gross margins than our businesses due to its pharmaceutical product line. The gross margins of the dental and medical segments were essentially unchanged for the quarter. We garnered some operating leverage in the quarter due to expense control measures we have taken, but the improvement was muted due to expenses related to the integration of the Columbus Serum, Mobilis Dolphin, and Empi Therapy Supply operations into our system. This was particularly evident in the medical segment where the increase in operating expenses stemming largely from the Mobilis acquisition temporarily caused a 180 basis point decline in the operating margin. We expect that the expense impact of these acquisitions will dissipate as we move deeper into the fiscal year. By segment, our first quarter operating margins were 11.0% for dental, 12.1% for medical, and 4.4% for veterinary. Our balance sheet shows that our inventory levels increased by approximately $30 million at the end of this year’s first quarter, compared to the year end balance at April 25th. This temporary expansion results from the normal seasonal increases in our warehouse inventories to improve service levels along with some impact from the acquisitions we made during the year. Our DSOs stand at 44 days compared to 43 in the prior year, while inventory turns are at 7.0 compared to 6.7 a year ago. The DSO of 44 days at the end of the current quarter excludes approximately $95 million of finance contracts that were generated during a CEREC promotion in the second half of fiscal 2009. These contracts will be sold to our regular funding sources during the second half of this year. We generated cash flow from operations of approximately $47 million in the first quarter compared to $33 million in the year earlier period. Capital expenditures in the quarter reflect the expansion costs of the Jacksonville distribution center will be completed in the second quarter. At that time, Jacksonville will become the third distribution center within our system capable of handling product for each of our three operating divisions. For the year, we still estimate capital expenditures will total approximately $25 million. With that, I’ll turn it back to the conference operator, who will poll you for your questions.
Operator: (Operator Instructions). Your first question comes from Glen Santangelo - Credit Suisse.
Glen Santangelo - Credit Suisse: Revenues were clearly a little bit stronger than what we had been looking for, obviously led by CEREC and digital x-ray and I’m trying to get a sense for on the CEREC side, may be how much of that was kind of pent-up demand from the trade-in program maybe versus what might be sustainable growth, any kind of clarity you can provide there and may be how much in trade-in program?
James W. Wiltz: Well, there’s no question, Glen, of the sales, I don’t have the numbers here in front of me or what percentage of it was trade-in and how much of it was new market, but I think one thing all of you need to be aware of going forward that trade-in’s and replacement machines and so forth are a common place in that product nowadays with the number of installs we’ve got dating clear back to the original CEREC 2s; there’s always going to be some activity in trades-up and with current users; I do not have the numbers.
Glen Santangelo - Credit Suisse: Jim, what else I’m trying to do is basically on Sirona’s conference call, they sort of suggested a very weak US equipment market and hence they had less shipments to the US market and yet you guys are obviously reporting pretty strong sales in the US market this quarter; how do I reconcile those two statements, versus what they’re saying and you’re saying? Does it all come out of your inventory, where did your inventory levels stand, any sort of comments there?
James W. Wiltz: Our inventory levels are definitely down, so obviously that’s going to have some impact on Sirona, but I did not listen to their call, but the sales continued to be quite robust for both new users and for trade-ups to the new blue CAM.
Glen Santangelo - Credit Suisse: My last question, seems like you have some pretty decent revenue momentum yet you just kind of maintaining the guidance, any sort of preliminary comments on July, did we continue to see more of that momentum in July or was it a little worse than you thought?
James W. Wiltz: We’ll talk about that at the end of the next quarter, Glen.
R. Stephen Armstrong: I didn’t see things much differently in July than we did in the first quarter.
Operator: Your next question is from Lisa Gill - J.P. Morgan.
Lisa Gill - J.P. Morgan: Just a couple of quick questions; first, when we think about the equipment sales, how much of this do you think Jim has to do with the tax incentives that are currently in place?
James W. Wiltz : With the CEREC?
Lisa Gill - J.P. Morgan: Exactly, with CEREC and digital x-ray; they’re larger ticket items clearly, but the tax incentives are still in place until the end of the year?
James W. Wiltz: I don’t think that’s having any impact yet; typically that doesn’t really get us until October, November, December when the dentist realizes that they need to spend some money.
Lisa Gill - J.P. Morgan: So, do you think that you will see a pick-up as we get into October, November, and December given that the expectation is that this will finally go away at the end of this year?
James W. Wiltz: The answer is, I don’t know, Lisa, but we had a pretty strong third quarter last year; so, the comparables are not going to be easy. So, I don’t have any great hopes that we’ll have a big increase in the third quarter in the core equipment business. I think we’ll continue to see CEREC and digital do well, however.
Lisa Gill - J.P. Morgan: And then, Steve, can you just remind us uses of cash flow; you produced a nice cash flow and I think your expectations are pretty good for this year; what are the top three things you’re going to use your cash for this year?
R. Stephen Armstrong: The top three things would be investment in the current businesses that we have; number 2 would be to return to our shareholders we can’t deploy within the business; and number 3, we haven’t decided on yet.
Lisa Gill - J.P. Morgan: Number 2, returning to shareholders, can you remind us where you currently are on your share buy-back program?
R. Stephen Armstrong: We have about just a little under 6 million shares available under the authorization. We have discussed the possibility of starting a modest dividend program as well, there is nothing concrete there, that’s a decision for the board but it had been discussed a number of times as well. So, there’s two ways of getting the money back to the shareholders.
Operator: Your next question is from John Kreger - William Blair & Co.
John Kreger - William Blair & Co.: Could you just give us an update on your promotion activities within the dental business? Are you focusing there primarily on CAD/CAM and digital x-ray, should we expect that to continue into the next quarter or did those promotions pretty much wind down in July?
James W. Wiltz: The only promotion that we’ve had on CEREC since the end of last year has been the trade-in program, John.
John Kreger - William Blair & Co.: Okay, and is that over, Jim?
James W. Wiltz: Yes, they had till the end of July for the trade-up program; we have not installed all those, so you’re still going to see some impact on our numbers through the next couple of months.
R. Stephen Armstrong: John, remember we always do a year-end equipment promotion, that will start slightly after Labor Day, so there will be no difference there.
John Kreger - William Blair & Co.: Followup question, you said the momentum has improved in CAD/CAM over the last couple of years; what’s your current thinking about a normalized level of growth for that category?
James W. Wiltz: Well, I think that we’re thinking in terms of about the mid teens ongoing growth to maybe a size 20% annually, John. There’s still about 50,000 offices potential for the systems that we don’t have any and so it’s still big on that market.
John Kreger - William Blair & Co.: Final question, can you give us your updated views on the dental environment, have your views changed at all over the last three months and have the competitive dynamics changed at all in terms of pricing and certain categories?
James W. Wiltz: We have not really seen much pricing, John, there’s been some around the country sporadically. We think the market still looks similar to us, we think that the market is slightly down and we can’t see anything that would tell us any differently at this point.
Operator: Your next question is from Derek Leckow - Barrington Research.
Derek Leckow - Barrington Research: I’m looking at this pretty wide divergence in activity in the two equipment categories, the very strong digital for the last couple quarters and still very soft basic equipment that’s been going on now for, I would say started about 6 quarters ago; can you give us any comments about your backlog, are you seeing any activity level in terms of real estate transactions out there, any feedback from your sales force you could share with us on that?
James W. Wiltz : One thing I think we do see a little more activity on projects that have taken place, but again we don’t have a good system for gathering that information. We don’t think that core equipment was soft back 6 quarters ago, we had a pretty good calendar year and quarter last year and 2009 in core equipment; the rest of the market was down pretty dramatically but we were up in the calendar fourth quarter of 2008.
Derek Leckow - Barrington Research: I was talking about the downturn across the industry related to the recession so forth, and on the sales force, I know you had some incentives for the sales force in terms of some of the digital products; is it fair to assume that you’ll again see some of the sales incentives back to the basic equipment as well or you think the sales force is more focused on selling the digital products right now?
James W. Wiltz: No, I don’t think they’re more focused on that; I think the customers are more willing to buy the digital and the high-tech products. I don’t think that has anything to do with the focus of our sales people.
Derek Leckow - Barrington Research: Is the sales force growing, are you guys adding sales people?
James W. Wiltz: We are, but the growth has been slight.
R. Stephen Armstrong : Actually on a quarter over quarter basis, we’re down about 50 sales people from a year ago on the dental side of the business, but since the end of the third quarter of fiscal ’09, we have been adding sales people; so, it’s up about 20 heads during that time period.
Derek Leckow - Barrington Research: So, on a sequential basis, you’re up?
R. Stephen Armstrong: Right.
Operator: Your next question is from Lawrence Marsh - Barclays Capital.
Lawrence Marsh - Barclays Capital: Just wanted to touch base a couple of things; Steve and Jim, you talked a little bit about the CEREC blue CAM trade-in program, but just qualitatively, were Brian and his team pleased with how the program went, whether it exceeded their expectations, did it meet it, or was there any other big surprises from them?
James W. Wiltz : I think it exceeded everybody’s expectations.
Lawrence Marsh - Barclays Capital: So, I think the message then is we should expect these kinds of trade-in programs to be a more regular part of that business as the replacement market becomes more important, is that right?
James W. Wiltz: I think the point I was trying to make earlier is that with the number of machines that we have out there now, there’s always going to be some process where some current owners are going to be buying new machines because some of the old machines are over 10 years.
Lawrence Marsh - Barclays Capital: Typically, you explore that process through some sort of program like the one you had…
James W. Wiltz: We have, every time that there has been a model change or some dramatic change, we have offered some trade-up programs, and everybody doesn’t buy it initially. So, the incentive goes away though fairly quickly from our part, but they continue to trade up as time goes on.
Lawrence Marsh - Barclays Capital: Secondly, on the medical business, it’s good to see the top line of your data, I was pleased; it seems like if you look at the numbers, maybe Mobilis added $7 million or $8 million in the quarter; is that right, and secondly, how big is Empi; how do we think of that in terms of size and what sort of contribution did that have in the quarter?
R. Stephen Armstrong: Just a little clarity on the medical numbers, I think we didn’t give you enough information to help you there, but the 9% points of growth, the internal growth rate, if you just look at, sort of, same store, and what we had a year ago at this time, was essentially flat for the quarter. So, acquisitions added about 12.5 points and then the currency took away about 3.5 points. So, that was about 50% of what the impact of currency was in the fourth quarter, and if you look at the business, they were actually up 3% points in their sundries business, so 80% of their volume was up 3%, they were down in the equipment category, which is what Jim commented on in his presentation.
Lawrence Marsh - Barclays Capital: Just in terms of sizing Empi, do you have any ballpark number?
R. Stephen Armstrong: You got it about right, it was about $12.5 million of total contribution and Mobilis accounted for about 75% or 85% of that in this quarter. They are comparable by businesses, Larry, if we retain all of the revenue from the two businesses.
Lawrence Marsh - Barclays Capital: Is $28 million in the cash flow statement for acquisitions; is that a fair proxy for total consideration for both of those businesses?
R. Stephen Armstrong: No, because Mobilis was actually purchased in April 2009. So, what you’re seeing in there is a combination of the Empi Therapy Supply business plus two other smaller operations.
Lawrence Marsh - Barclays Capital: Smaller operations also in medical?
R. Stephen Armstrong: One was in dental and the other one was in medical.
Lawrence Marsh - Barclays Capital: But much smaller?
R. Stephen Armstrong: Yes.
Lawrence Marsh - Barclays Capital: A couple of other things quickly; the toothbrush impact, in the last quarter you had cited about 1% of consumables, this quarter you are saying 2%, that’s a couple of million dollars; is that seasonal or is it really just somewhere in the middle in terms of size per quarter?
James W. Wiltz: I don’t really think it’s seasonal. I think it’s going to be a changing target as we try to roll that business over to other suppliers. So, it’s a little hard for us to predict, but we’re starting to get some good traction with the replacement brush contracts we’re putting out there. The comparability issue, Larry, will be totally gone by the end of the calendar year because that program started in January, but it is volatile from quarter to quarter as far as so much volume is going through that program and has gone through that program, but not from a seasonal perspective.
Lawrence Marsh - Barclays Capital: Just on the vet side; can you just remind us, with Merck’s sale of its 50% stake in Merial to Sanofi, do you think it is going to change the way that businesses run through the distribution channel or do you think it is a non-event?
James W. Wiltz: We hope that it has some hope of changing, but if you read closely what they propose to do when Sanofi bought the other 50% and then they said after they get the deal done, they’re going to go back and do another 50-50 joint venture. I can’t imagine that the government is going to stand still for that, but that’s what they said in their statement.
Lawrence Marsh - Barclays Capital: In terms of how you think of it possibly impacting your business positively or negatively, Jim?
James W. Wiltz: It depends on where those pieces end up at.
R. Stephen Armstrong: It could only be positive.
Lawrence Marsh - Barclays Capital: Finally, you mentioned some take-down in comp starting this quarter; how do we think of the size impact to that in terms of SG&A and is there going to be a more noticeable impact as you think about the rest of this fiscal year?
R. Stephen Armstrong: It didn’t take effect on June 1st, so we only had two months in this first quarter impact, and it will have its full impact on the remaining quarters.
James W. Wiltz: Larry, maybe I can give you some qualitative perspective on that; I think at the end of the second quarter last year we told you we were looking to try to remove about $25 million of operating costs from the system. If we had not had the acquisitions in this period, I think you would have seen a pro rate portion in this quarter.
Lawrence Marsh - Barclays Capital: So, you’re on track in terms of overall including what you just announced in June?
James W. Wiltz: Yes, correct.
Lawrence Marsh - Barclays Capital: Just a followup with the cash flow, normally I think of your cash flow from operations mirroring in that income, but this year you’ll see that $90 plus million of benefit sometime second half of the year; is that still the right way to think of that?
R. Stephen Armstrong: Predominantly, we’ll see a little bit of it in the second quarter Larry, but most of it will come in the third and the fourth.
Lawrence Marsh - Barclays Capital: So, a normal plus $90 million or so for fiscal ’10.
R. Stephen Armstrong: Correct, unless they decide to take and refinance the money somewhere else, which is always their option to do.
Operator: The next question is from Robert Willoughby - Bank of America-Merrill Lynch.
Robert Willoughby - Bank of America-Merrill Lynch: Can you comment on the vet, the Columbus Serum acquisition; you’ve indicated it’s going to be a bit of a drag on profitability for a while longer which is somewhat surprising; what are the barriers to move in those margins up quicker, what’s left to be done from a consolidation standpoint?
James W. Wiltz: We have two pieces that we have to continue dealing with. They were a distributor for Hills Dog Food and they were doing the delivery themselves. So, the product had a relatively low margin compared to their other margins, and the second piece we have is a piece called High Plains which is a mixture of production animal and small animal primarily in the Dakotas and Nebraska and that general area, and we found that we can’t just totally shut that production site down because too many of those veterinarians are mixed practices. So, it’s going to take a lot of force to work our way through that Bob.
R. Stephen Armstrong: The other big piece Bob is we have not, mostly for regulatory or little bit for systems issues, we haven’t been able to shut down their primary distribution center yet or consolidate it any way, and that really necessitates keeping their systems alive. So, we can’t get some of the synergy out of the transaction at this point.
Robert Willoughby - Bank of America-Merrill Lynch: But that does happen somewhere down the line?
R. Stephen Armstrong: Yes, later this year.
Robert Willoughby - Bank of America-Merrill Lynch: I am sure you guys saw; VCA Antech bought a larger imaging technology company here; what’s your advantage relative to them selling imaging equipment into the vet sector, is there one or are you at some disadvantage?
James W. Wiltz: I am sorry, I didn’t hear that first part of your question; who was it that started?
Robert Willoughby - Bank of America-Merrill Lynch: VCA Antech has doubled down on that business.
James W. Wiltz: First of all, we’ve got much broader product offering and we will see where they go with that. I am not sure how willing competing veterinary offices are going to be to purchase some of their equipment from their competitor, but we’ll see how they do it. I don’t think we have a big concern in this.
R. Stephen Armstrong: We don’t do a lot of VCA Antech today.
Robert Willoughby - Bank of America-Merrill Lynch: I am just wondering from the vet’s perspective and maybe Jim’s address that what’s my incentive to buy from you over them; I guess there’s the competitive angle, but do they bring any other advantage in terms of selling equipment that would come at your expense?
James W. Wiltz: None that I know of. They don’t have the ability to take care of it; we do, plus we sell all the supporting software that goes along with it.
Robert Willoughby - Bank of America-Merrill Lynch: Have there been any deals since the close of the quarter, any acquisitions?
James W. Wiltz: We closed a very very small one yesterday, in Complete Candor.
Robert Willoughby - Bank of America-Merrill Lynch: Complete Candor; is that a new business line or is that medical?
James W. Wiltz: The keyword there is that it’s very very small.
Robert Willoughby - Bank of America-Merrill Lynch: What business, what division?
James W. Wiltz: Medical. A very small distributor up in the New England area.
Operator: We have a question from Jeff Johnson - Robert W. Baird & Co.
Jeff Johnson - Robert W. Baird & Co.: Jim, could I just go back and get some clarification on your comments on CEREC inventory; I heard Sirona on their call talk about it, it wasn’t so much that end-user demand was slow as I think you guys are showing was not the case, but was just that you guys had some good inventory levels that worked from the inventory to the European markets. Could you talk at all about your CEREC inventory levels, where they stood throughout the quarter, maybe where they are at the end of the quarter and whether or not you think there is probably some need with stronger end-user demand that saw that inventory back up?
James W. Wiltz: Steve is going through his file there. I don’t know if we have the numbers in front of us or not Jeff, but one thing to keep in mind, all the sales that we’re making of Bluecam, acquisitions with the new camera, those are going out as soon as they come in. So, we have not been building any inventory in Bluecam, we haven’t been able to.
Jeff Johnson - Robert W. Baird & Co.: Steve, any color you could put around it?
R. Stephen Armstrong: Our inventory levels at the end of July compared to April were relatively flat. They might have been up slightly, but what’s going on there is, we obviously have to re-equip parts of our training facilities, so we’ve got to duplicate in the training area right now, but as far as salable stock, it is almost dead flat.
Jeff Johnson - Robert W. Baird & Co.: Dating throughout the quarter, that closed in July; you’d given me that number in July versus what Sirona closed their quarter in June, correct?
R. Stephen Armstrong: That is correct, but it stayed relatively flat throughout the quarter, Jeff. It didn’t yin and yang around.
Jeff Johnson - Robert W. Baird & Co.: Steve, just on the small dental deal you did recently, in the last month or so, over in Hawaii; any way you can break out the contribution we should be layering into our models on both the consumables and the equipment side there?
R. Stephen Armstrong: I would tell you that that was around a $15 million business annualized and that’s about as much clarity as I can give you right now. I don’t want to commit to anything because it was a more complicated transaction, but I would expect that that will be between $15 million to $20 million contribution annualized ultimately. We’re taking a lot of products into that system in addition to what they already had. So, we’ll replace some of what they had, we’re changing manufacturers, they will pick up the ADEK line and will have Sirona, lines that they didn’t have before from an equipment perspective. So, to look at history, it’s not all that indicative of what will happen or could happen, but we are very impressed by the group over there and would expect them to make a nice contribution going down the road.
Jeff Johnson - Robert W. Baird & Co.: Can you remind us just when that closed so that we can start layering that into the model?
R. Stephen Armstrong: It actually closed late July.
Jeff Johnson - Robert W. Baird & Co.: Jim, back a few months ago, when the news on the salary reductions came out, I think, that was April/May when the news broke on that; you had talked about being committed to a flat operating margin for the year. Is that still how you’re thinking about it in light of the Columbus Serum or how should we be thinking about your operating margin expectations for fiscal ’10?
James W. Wiltz: As far as we’re concerned, we’re still shooting at a flat operating margin at 11 to 11.2, Jeff.
Jeff Johnson - Robert W. Baird & Co.: As I look at that and then add in a couple of these deals, the Empi deal, the Hawaiian deal on dental side and look at some of the bounce-back in the vet organic in that, it is hard not to get to the upper end if not exceeding the upper end of your guidance for the year, from an EPS standpoint. So, I am just trying to reconcile, should I be taking a more conservative look on the revenue side, am I missing something there, or is there something else going on here that would not point us to the upper end if not even higher than that up to your guidance?
James W. Wiltz: I’d just make one comment to you. When we were making those forecasts, we were already folding in the Mobilis and the Empi business into medical. We were assuming the volume from those two acquisitions of Empi and Mobilis to be able to get us to the flat operating margin.
Jeff Johnson - Robert W. Baird & Co.: I am just trying to reconcile, with flat operating margin, even as flat for the year, the upper 170s if not low 180s is doable.
R. Stephen Armstrong: We’re only 90 days into the year Jeff, come on. We’re in a tough economy.
Jeff Johnson - Robert W. Baird & Co.: Fair enough. I just wanted to get some color. I appreciate it.
R. Stephen Armstrong: Spreadsheets look a hell lot better than actuality sometimes.
Jeff Johnson - Robert W. Baird & Co.: I’ve come to realize that, I agree.
Operator: There are no further questions at this time. Would you like to continue, sir?
James W. Wiltz: We have no further questions. We’d like to thank everybody for joining us for our first quarter conference call and we look forward to reconvening with you on our second quarter conference call. Thank you very much.
Operator: This concludes the Patterson Companies’ first quarter 2010 earnings call. Thank you for participating and you may now disconnect.